Ignacio Cuenca Arambarri: [Foreign Language] [Interpreted] Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2022 First Quarter Results Presentation. As usual, we will follow the normal format given in our presentations. We will begin with an overview of the results and the main development during the period given by the senior executive team [Indiscernible]. Our Chairman and CEO, Mr. Ignacio Galan, Mr. Armando Martinez, Business CEO and finally, Mr. José Sáinz Armada, CFO. Following this we will move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web so please ask your question only through our web page, www.iberdrola.com. Finally, we expect that today's event will not last more than 60 minutes. Hoping that this presentation will be useful and informative for all of you. Now, without further ado, I would like to give the floor to our Chairman and CEO Mr. Ignacio Galan. Thank you very much again. Please, Mr. Galan.
Ignacio Galan: Thank you, Ignacio. Good morning, everyone. And thank you very much for your participation in today's conference call. Before the start in this presentation, I will like to dedicate a few words of solidarity to the people of Ukraine. Their strength and courage are an example for the whole world. Our thoughts are with them. We hope this invasion will end as soon as possible, restating peace and freedom for all Europeans. Moving to their first-quarter result: profit reached €1,058 million, up 3% as the contribution of international businesses in particularly in United States and Brazil. With net profit increases 33% and 20% offset the 29% decrease in the net profit in Spain. To the impact of the high-energy prices. They we are not passed onto our customers with fixed prices agreed previously. The [Indiscernible] increases 5% to €2,151 million, driven by growth in networks. While production and customer growth was negatively affected by high prices in Spain as mentioned. And as well, l in the UK. Gross investment reached €2,100 million for a total close to $10 billion in the last three months. During which we installed 3,500 Megawatt of new renewable capacity, with 7,500 under construction that will provide additional growth in the future. Of this capacity, 2,600 megawatt correspond to offshore win, in France, Germany, United States, where we had signed new PPAs for 1,200 megawatts in Massachusetts. In addition, we have already received planning consent for the whole 2,900 megawatt East Anglia Hub in the UK, giving more visibility to our growth in offshore wind over [Indiscernible] gate. In net worth, we have also accelerated investment in all Geographies adding $100 million to our asset base, including new mission profit in UK and Brazil.We have managed to combine this expansion with a balanced business and financial profile following the path of the last two decades. Putting us in an optimal position to navigate the macro and commodity scenario created by the ambition of grain and the recovery after the pandemic. We have shown more than ever the need to undo the dependency of fossil fields, especially in areas like European Union, given its high share of any imports, which in the case of gas reached 90% of the total consumption, more than 45% progression region. And the solution is to accelerate electrification through more investment in renewable [Indiscernible] in storage. We have expanded renewable faster. Today, we will be far less vulnerable to withstand external shocks. We know the way to get there. The framework created by European Climate Law, the Green Deal, and the Fit for 55 package, which now could also be called Fit for Sale to Efficiency. So the solution to this crisis will come from more Europe and more coordinated action following the guidelines set by European Commission in the toolbox and the Republic due communication. Every time Europe has remained united, things had gone well for Europeans, especially in during crisis. So instead of trying to create a special exception, like one proposed by [Indiscernible] Market, we must look for common solutions. Even more when the situation of Spain is no different from the rest of Europe. It's more than forward prices are similar or below of the European countries. Spain is not in an island. Our 8% nominal interconnection capacity becomes 20% if we considered our share of renewables in the calculation of peak demand or even 30% compared to average demand. The utilization factory meter condition and the price conversion between Spain and France shows that these market are well integrated. And finally, there are no windfall profit as you can see in our results. But there is one aspect in which unfortunately Spain is different. The wrong design of the regulated target, which is linked to the volatility of spot prices when even in Portugal, where the same whole sale market has a totally different system link into a basket of footwear prices. Other European countries do not even have regulated tariff, which in fact are expected to disappear in Europe by 2025, unless country justify the need for them. So what we need is to incentivate the acceleration of deployment of Clean Energy's, to promote long term contract for instance, through tax incentive for consumers, and to support market-based solutions for the long term. As a principle, we must avoid taking a stricter measure to solve short-term situation. So in our question in the proper inflationary of electricity market, we believe the market are working currently, gas reflecting an external situation created by gas market dynamics. We do know post-market improvement, but they have to be done in a coordinated way in design for the long term after careful and rational analysis. The assessment of wholesale market, designed by the AMC for corporation of energy regulator ASA, they will be completed in May, is great opportunity in Iberdrola is ready to continue, contributed to this analyses. Following our strong belief in the need for a fluent dialogue between agents and administration. Moving to operation results. EBITDA reached almost €3 billion up to 5% showing the group is strong underline performance. Thanks to the increasing contribution of international businesses, we represent two-thirds of the total. Proving the optimal geographical diversification of our Iberdrola businesses. Negative EBITDA grew 20%, representing 54% for the total operating results. Thanks to the high asset base in all geographies and increase in revenues driven by tariff reviews, mainly U.S. and Brazil. EBITDA of energy production and customer was down 9%, affected by lower wind and hydro factors in several geographies. The already solar plant nuclear outage of our conference as power plant was offset by the positive impact our ruling in Spain. And the negative performance in retail in UK and Spain due to the need to buy energy in wholesale market at prices, that who have not passed to our customers with fixed prices contracts. We also had the contribution of 3,500 new renewable megawatt installed during the last 12 months. With significant increases in installed capacity in Brazil up 15% after they commission of Japanese complex to close 200 megawatts. And the rest of the world where capacity increased 30% year-on-year, driven by new wind, solar PV, and battery storage facilities. As mentioned, we have continued the acceleration of our investment. In the last 12 months, we have reached close €10 billion users, thanks to 200 and €16 million invested during the first quarter with more than 90% allocated to networks and renewables. Net worth investments represent 38% of the total with growth coming mainly from Brazil and Spain. Renewables contributed more than half of total investment during mainly by the UK, where we have multiplied our investment by three in line with increasing ambition of the British government. Investment increased only in United States, Brazil and the rest of the world, mainly in offshore wind in France, in Germany, and onshore wind and solar in Australia. In the last 12 months, we have installed the reduction and found a new Megawatt of capacity, processing 200 correspond to solar mostly in Spain, in the U.S. and Australia, 100 and onshore wind primarily in Brazil, United States and the rest of the world. In more than 1,000 to a storage driven mainly by giga battery in Portugal, the hydroponic storage facility, a [Indiscernible] battery storage in the UK and Australia. On top of that, we have more than 7,500 currents under construction. One third is in Spain, almost another third in the United States, and the remaining 35% in the rest of the world and Brazil. By technologies, it's capacity and the construction include almost 2,600 in offshore wind in United States and Europe. 3,400 megawatt of solar PV, 1,400 on onshore wind, and 200 megawatt of storage technology, including the third done of the Tamega pump storage hydro complex and [Indiscernible] megawatt of battery storage located in the UK. We expect this acceleration new capacity to continue in the coming months and years, supported by our pipeline on 90,000 megawatts in geographies with increasing Clean Energy ambition in different routes to market, including customer based, bilateral contracts and PPAs as off shores, allowing us to be selective to maximize return and minimized risk. In United States, we have more than 22,000, of which 5,300 are offshore wind, 2,600 onshore, and 14,000 solar PV. In Spain and Portugal, we have 16,000 mostly in solar PV, hydro, and onshore wind. In UK, over the last year, we more than doubled our pipeline to reach 15,000 megawatts, merely in offshore wind, thanks to the positive result of the Scott wind auction, where the Scottish powers awarded seabed rights for three projects with total capacity of 7,000 megawatts. One fixed project to larger scale [Indiscernible] see, we shall. The rest of our pipeline is spread over the geographies, mainly in the rest of the world, where two-thirds of 24,000 megawatt correspond to offshore wind. In the last year, we have reinforced our leadership in this technology, expanding our portfolio of current and new market. All of them with high growth potential in a stable framework. In taking significant steps in all the projects that will be operational before 2027, we will have a combined capacity of 7,000 megawatts. The United States have agreed to sign the PPA for 1,000 megawatts [Indiscernible] wind project with Massachusetts distribution companies. In the UK, we have already obtained the consent for the 2,000 megawatt of our East Anglia Hub, probably it will mobilize £6 million to become one of the largest renewable energy in the world contributing to the success of the ambition of clean energy plan in UK government. The construction of all our projects is also progressing well. In Saint - Brieuc, the installation of foundation continues and the plant will be operational in 2023 adding 500 megawatts in France. In Germany, works at Baltic Eagle had focus on foundation as well, and the project will start production in 2024, are lowered by being [Indiscernible] in 2026, for a combined capacity of 100 megawatts. Lastly, the first large-scale offshore wind farm in United States, Vineyard Wind 1 is progressing quite well, with all key milestone on track. And the designer and procurement [Indiscernible] Wind are advancing according to the schedule. Beyond 2027, we have growth opportunities to develop 25,000 additional Megawatts in our traditional market in other geographies, with a strong potential, both in European countries, like Sweden or Poland, and in Asia. In Networks, we invested a €100 million during the first quarter with Brazil, United States as the main destination. In Brazil, we keep progressing in our distribution investment plan in network transmission project for a total investment of €250 million. In United States, we're preparing a new rate for the next three years in New York, Connecticut, Massachusetts, and Maine, which will be filed in the next month. Also in Maine, following the improvement in the quality of February released by CMP, the rate of return increased to 9.25%. In the UK we have received a preliminary approval for the eastern lean subsidiaries mission line between Scotland and England. The Scottish power has 37% stake in one of its two project with a capacity 2,000 Megawatt and a total investment of £1.5 billion, €450 million for us. The line will be regulated asset under RIOT2 region. And it's expected to come into operation in 2027. We are also analyzing additional opportunities arising, from the new security 30 of UK government, which will for sure require massive investment in transmission. As well and distribution. We continue preparing their RIOED2 framework. In January, the Customer Engagement Group published its report, which was supportive of the Scottish power plan, saying they need mates in many areas exceed oxygen expectation. We expect oxygen [Indiscernible] by the end of June. Finally, in Spain, our distribution of subsidiary IND obtained from the European Recovery Fund, €180 million to promote the novelty realistic and project, as well as deployment of public charging infrastructure for [Indiscernible] as part of the company plan to invest 500 million up to 2024 in digitilization. As you have seen, the current context made it more necessary never to guarantee energy reservation and decarbonization. This will accelerate electrification all around the world, increasing investment need in renewable grids and storage. This will require strong currents between energy policies and regulation, providing stability to attract massive amounts of capital. Therefore, political ambition must be aligned with legal regulatory certainty and rule of law as fundamental pillars to obtain investor confidence. This is a case of European Union, which as I mentioned earlier, is creating a framework for the coordinator respond to energy crisis to its tool box and repower communication. Also Germany, I known is just a few days ago it's Easter plan with ambition targets increasing megawatt capacity reach 80% share of renewable generation by 2030 and 100% by 2035. In France, President Macron [Indiscernible] plan with a target of developing 50 new offshore wind pump, doubling onshore wind capacity and multiply solar PV by 10 times. However, not all European countries are moving in the same direction as we have seen in Spain, where despite some positive moment, like reduction on any taxation or the acceleration of permits, the government has extended so-called gas clawback and has proposed an exceptional regime for Iberdrola market that we have seen is not justified and goes against the single market. When the situation could improve significantly just by eliminating the link between spot prices and regulated target, which is unique in Europe. The uncertainty created by these measures is reflected, for instance, in the fact that after optioning almost 16,000 Megawatts in 2017, only 6,000 Megawatt has been built. In the UK, the new energy security strategy includes ambition target to promote self-sufficiency through renewables and nuclear generation, as well as deployment of Green hydrogen. The United States, both federal state administration is developing resiliency plan and The Bipartisan Infrastructure Bill is now starting its implementation. Australia is progressing initial integrated system plan to reach this ambition emission target. And the offshore electricity infrastructure bill will really come into effect in June, will create a framework for this technology in the country. Finally, in Latin America, Brazil has just published its new tangier energy plan with increased targets in renewables enters mission, as well as new low for support of sure win growth in the country. In Mexico, as you know, the constitutional reform was [Indiscernible] by the congress. And following the review of the electricity industry law by the Supreme Court, shown aspect of these legislation was declared unconstitutional with all there's left to case-by-case decision by judges. As you know, our listed subsidiaries Avangrid and Neoenergia are also presenting first quarter results showing a strong performer in both cases. Avangrid adjusted net profit increased by 73% to $445 million mainly thanks to the strong performance in networks with net profit growing 12% year-on-year. In renewables are at least continued to accelerate growth in onshore wind and solar as well in offshore wind, where the company completed a restructuring agreement, that gave Avangrid full ownership of past CT wind and [Indiscernible] wind. I have already 2800 Megawatts contracted after the PPA signed recently for this last project. The company performance in the quarter lower Avangrid to maintain the company guidance with full GS adjusted net profit expected to read between $150 and $120 million, Neoenergia registered 20% increase in net profit to reach BRL1,100 million, given by the integration of Neoenergia Brasilia. The ongoing investment in the network business and a strong growth in renewables. EBITDA reached BRL3,169 million, up 39%, thanks to a 34% increase in investment, which amounted BRL2,500 million. Of these total, BRL1,150 million were allocated to distribution, driving forward improvement in quality of service, especially in concern. We have nominated by ANEEL, the best distribution company in Brazil, in this chapter. In addition, BRL350 million were allocated to new transmission project. And renewable investments accounted for BRL111 million, both on onshore wind and solar. This investment growth is sustained by ongoing regulatory stability, with tariff reviews and adjustment reflecting our cloud costs in the first ones from the hydro results to be received. The group's strong, operational performance, is fully reflecting our cash flow generation. We reached €3,005 million in the first quarter, up 32%. As a result, our financial ratios improve with FFO adjusted net debt increase in 70 basis points to 24%. In addition, our liquidity position reached €21 billion, covering 22 months of financial needs, improving our full access to finance in a very competitive term. Over 2022, Iberdrola has already signed €2.2 billion on new green financing for a total of €41 billion and remains as the world-leading group in green bonds issues. All in all, these results show the resiliency of Iberdrola business model, which is allowing us to navigate the current energy market situation and maintain a strong growth prospect. Our length and focus on clean electrification growth through investment in renewables network in the storage, with 90% of our production in Europe already emissions-free, also also place us today in optimal position to face the short-term instability due to our geographic diversification, with EBITDA almost equally split among Europe in Americas. In addition, 50% of our operating margin is protecting for an inflation, 80% our debt is contractor fees rates, and more than 90% our net profit is already hedged from the effect of foreign exchange. On top of this, our procurement policy allows us to have suppliers already secured for 2022, with price close or hedge. I will now hand over the CFO, who will present the group financial result in detail.
José Sáinz Armada: Thank you very much Chairman. Good morning to everybody. As the Chairman has explained, EBITDA was up 4.9% to €2.95 billion, and reported net profit grew 3.2% to €1058 million. '22 first-quarter operating cash flow as the Chairman has said, is up 32% as it includes funds collected from core decisions in '21 that were not included in our FFO in '21. FX evolution has had a positive effect on results that will increase through the year as we have already hedged as the Chairman has said, the appreciation of our referenced currencies versus the euro. The dollar has rose against the euro by an average of 7.2%, the pound by 5.2%, and the real by 8%. Revenues increased to 20.4% to €12 billion and procurements grew 36%, reaching €7.5 billion. As a consequence, gross margin grows by 1.8% to €4.7 billion. Net operating expenses increased by €102 million 9.8% to €1.1 billion as a consequence of the group's growth with average workforce increasing 6.7%, including Neo Brasilia and FX appreciation. There has been a one-off positive impact from a U.S. provisions basis, and provisions reverses accounted in personal expenses partially compensated by storms and other minor one-offs that are accounted at external services. Analyzing the results of the different business, and starting by networks, EBITDA grew 21% to €1.6 billion. EBITDA grew in all geographies except Spain. Our increasing asset base, inflation recognition and operating efficiency explain this good evolution. As you can see in the slide the contribution from different geography's is very balanced. In Spain, EBITDA decreased 3.7% to €409 million mainly due to the impact of a €22 million positive settlements accounted for in '21. In Brazil, EBITDA grew 30% to R$2772 million, driven by our increased asset base with NeoBrasilia already contributing and positive impacts in distribution from tariff adjustments. Inflation, pass-through, and operating efficiency. In the U.S., IFRS, EBITDA was 33% up to $477 million due to the rating case increases linked to higher investments and asset base. And the [Indiscernible] recognition. In addition, there is a 99 million IFRS positive dollar IFRS positive impact corresponding to the reversal [Indiscernible] in provisions as I mentioned. U.S. GAAP EBITDA increased 2.5% to $495 million. Finally, in the UK, EBITDA increased 6.2% to £250 million, thanks to our higher asset base. Energy production and customer business EBITDA fell 6.8% to €1.36 billion. Key drivers of the business were the lower output driven by lower renewable production, forcing the group to buy energy in the market at higher prices. These increased energy costs, as the Chairman has said, has not benefited the group as the higher prices have not been passed onto customers. In Spain, EBITDA was €557 million, 5% down. And basically, the drivers of this evolution was a 19% lower output due to very low hydro, low wind, as well as an unplanned reduction on nuclear production due to an outage of Cofrentes Nuclear Plant. All of these had a combined impact of €370 million as we had to buy additional energy in the market at very high prices, not passed to clients. We do not expect to have such a negative impact on the next quarters. This very negative impact was partially compensated by the temporary suspension of the 7% tax remuneration, lower hydro canon, our production has been lower, and court rulings. In the U.S. EBITDA decreased 43% to $147 million, due to the positive contribution of the Texas cold snap accounted in the first quarter of last year, partially compensated by a 6.2% higher output due to new installed capacity and better wind resource versus '21. In the UK, the EBITDA fell 25% to £237 million in a context of higher energy procurement at higher prices, due to higher sales than expected, [Indiscernible] tariff partially compensated by higher wind output. Nevertheless, let me again highlight as in the case of Spain, that we expect the business to recover along the year as ESVT has been increased in April and will be rising again in October. In Mexico, EBITDA grew 11% to $215 million. This revolution is explained because opposite to the U.S., it was -- in '21 it was negatively affected by the excess cold snap. And this has been partially compensated by lower thermal production in '22. In Brazil, EBITDA grew 33% due to 420 million Reals, driven by the Termopernambuco CCGT. Finally, in the rest of the world, EBITDA grew 42% to 129 million, with high contribution both from onshore and offshore business across different geographies. EBITDA was -- EBIT, sorry, was up 2% to €1.7 billion. D&A grew 11% to €1.1 billion mainly due to the higher network asset base and activity and renewables growth. Also, provisions were 6% down to 108 million, mainly driven by lower bad debt provisions after the pandemic. Net financial expenses grew €134 million to €399 million. Debt-related costs explain 107 million. €77 million due to the higher cost of debt in Brazil. Nevertheless, is more than compensated at the EBITDA level by revenues indexed to inflation, excluding Brazilian impact, our cost of debt improved four basis points to 2.85%. There is also a €30 million increased due to higher average net debt balance. Non-debt-related costs increased €27 million mainly linked to FX hedges covering full-year results at the beginning of the year. Our reported Credit Metrics improved again, despite this net debt increase linked to the strong CapEx and the €1.1 billion FX adverse evolution. Our yearly FFO grew by 14.8%, including collection of €100 million from Spanish court ruling. Nevertheless, as you can see in the slide, thanks to our debt management, we have been able to maintain a stable our debt in this quarter without considering the FX impact. As a consequence, our adjusted net debt to EBITDA improved to 3.3 times, our FFO adjusted net debt rose to 24%. Our retained cash flow adjusted net debt was up to 21.7% and our adjusted leverage ratio strengthened to 40.9%. Net profit grew 3.2% to €1058 million. Equity method includes €212 million of positive non-recurring impact as the result of the Vineyard Wind restructuring agreement reached with CIP. As the Chairman will explain later, operating performance will improve along the year as renewable conditions are improving, supply results will recover in Spain and the UK, and FX will also help. In the annex, you will find the script dividend calendar. Now the Chairman will conclude the presentation. Thank you very much.
Ignacio Galan: Thank you Pepe. The first quarter has had a distinctive performance in the following quarters, allow us to reaffirm our 2022 net profit outlook in the range of €4 billion to €4.2 billion. In the coming months, we expect the recovery of the recessionary low hydrogen nuclear production in the first three months, then as Pepe mentioned, has an impact with €370 million in our accounts, and the contribution of 3,800 Megawatts of capacity in €4 billion on network investment, which we are driving additional growth mainly United States and Brazil. As well as the better performance in the UK, where we expect normalization of renewable production. Also, our retail margin would reflect increase in the price cap since April. Our outlook also includes the impact of regulatory emissions, including decision already mentioned in this presentation, as well as the positive FX impact, mainly due to the expected revolution of dollar and real. Today, we are also reaffirming our outlook on dividend. We will grow in line with the net profit, with [Indiscernible] of €0.44 per share. To conclude, although we will give you a detailed information as soon as the circumstances allow us to celebrate our Capital Market Day, let me share now a very brief summary of our long-term prospects. The acceleration of structural trends like technological progress and Clean Energies or the need to combine the carbonization [Indiscernible] efficiency coupled with short-term challenges driven by the geopolitical situation, we have feel the urgency of the transition to a more electrified in [Indiscernible] in energy system. We have technologies to make this possible and there is a capital to drive the investment needed for the massive deployment of renewable power networks and energy storage. Combined with Green hydrogen for energy uses that are difficult to electrify in certain industrial sectors, a heavy transport, obviously, stability, predictability, and rural low will be more important than ever if we want to mobilize the capital required for this transformation, increased the light is advantage in terms of lesser external dependencies in lower than Ecos, great in any security as base on a limited and local needs and obviously, there's deliberation of the carbonization. Precisely the foundation of the Iberdrola business model, making our company fit for delivering growth in Nordics scenarios for the reason in the coming years, we intend to reaffirm this strategy. With more growth in network we will represent at least 50% of our investment to 2025, driven by a stable 30 framework. Most of them with regulatory return adjusted when inflation. In the case United States, we expect new rate cases that will provide additional growth opportunity, also reflecting the current macro economy outlook. We will accelerate growth in renewables as well as business in which our diversified by aligning countries with a stable framework in our access to different route-to-market allow us to remain selective, focusing on the most profitable project. By technologies we will continue leading development of offshore wind in growing in onshore wind and solar PV. To increase production and optimize the balance between our output and our customer demand in strong countries. We will also continue to strength our geographical diversification with more than 50% of our results coming from Americas, a growing contribution for Europe and the rest of the countries in Spain contributed listening 1/3. And we will combine these growths with a solid financial profile. Maintaining our Eastern rating with no need of capital increases in keeping additional optionality from the use of partnership and natural rotation. This model is fully aligned within any policy target of self-sufficient and the Carbonization, and will be implemented following the strong focus on ESG. Given these factors, today, we are maintaining our outlook for 2025. Now we'll be more than happy to answer your question. Thank you.
A - Ignacio Cuenca Arambarri: Thank you, Chairman. Prior to move to the Q&A session, I would like to point out that for the time being, the following professionals have asked the question that I will be putting to top management in the next few minutes. Javier Garrido from JP Morgan, Alberto Gandolfi, Goldman Sachs, Rob Pulleyn, Morgan Stanley, Harry Wyburd, Bank of America, Fernando Garcia, Royal Bank of Canada, Javier Suarez, Mediobanca, Jorge Guimaraes, JB Capital Markets, Fernando Lafuente, Alantra Equities, Jorge Alonso, Societe Generale, and finally, Ahmed Farman from Jefferies. The first question is the following: Is the nonrecurring low hydro nuclear win included in the guidance for €4.2 billion? Does it include CAP, U.S. pension, or social tariffs impact?
Ignacio Galan: Well, of course, all those things have already happened is included. I think, I mentioned that we have already had an impact to €370 million. Pepe mentioned on the first quarter because of all these condition and that is included in the projection, of course, yes. And of course, all this is included whatever other thing which is already happening across the year and this point of pension, or whatever, as well is included, yes.
Ignacio Cuenca Arambarri: Second question. What is your estimate for EBITDA in 2022? Consensus is at levels of $12.2 billion, are you comfortable with this year, given Q1 resource and expected evolution of the business? It seems that the 12.2 billion could be a conservative figure.
Ignacio Galan: Well, we are comfortable with these numbers. Probably, the numbers we are really expecting is slightly higher than those ones.
Ignacio Cuenca Arambarri: Third questions, how should we think about the direct and indirect impact on Iberdrola from any material disruption in Russia gas supplies?
Ignacio Galan: We are not a total disposed to import for Russia and gas. Our production on generation of gas in Europe is minimal. We don't expect senior vent impacting course DR or other hedges in us extend of interrelates as well. And most of our resale, as I mentioned was protected from inflation. So I've seen -- to give you an example we yes, received a review of the Brazilian [Indiscernible] and felt tariffs, which are already increases so far the range of 13%, 14%, which I think is monitored reflecting the inflation. So I think that is a good example how we already in our business saying with the production 100% of our production available for 2022 and almost 80% of 2023. So the point is the nobody knows what is going to happen with the inflection in the future. So but I think if inflation proceeds I seen certain indication of renewables, I think that could be reflected in the future prices of the PPAs we will sign. Also our procurement policies, as I mentioned, for 2022 are already fixed or close or hedge in advanced or within, we're not expecting that one. I think in the future, if that changed as well, I'd mentioned that will be already passed to the contract of our customer who will pass. And also as Pepe mentioned, 80% of our debt is already at fixed rates. So I think potential increases in interest rates. We are not really affected because we are long-term and fixed rates.
Ignacio Cuenca Arambarri: Probably the next two questions are the questions of these [Indiscernible] has been asked with several specificity and from the large list of professionals. So I will ask it in a general way, and the remaining details will be answered, please. From the IR department. First one is, what is expected impact of Iberdrola on Iberdrola of the Spanish gas price cap for power generation? And the second one, Number 5, do you expect the introduction of carbon clawback? Do you expect the extension of gas clawback and how could this impact in your accounts?
Ignacio Galan: Well, I think the first thing I think we are aware this is the problem in Europe prices, I think that is a common in the whole European Union. So I think it exists, a problem of prices due to the gas prices, due to the fossil fuels. And Spain is no different, prices I have to say in the [Indiscernible] market in Spain are lower than the most of Europe due to a better mix than we have already in the country, thanks to the massive renewable in the country. Another thing you can check already those numbers will start, which I think is already published. I think the unique characteristic of the Spanish market is a regulated tariff, as I mentioned before, with the design that is affecting by the spot price volatility. But I think that is only affecting almost to 10% of their energy sold in the country. I think the easy solution in my opinion, and I think I not already give my opinion, as you know, I'm very straight forward, will be to move in the same line with other European Union countries. Linking regulated tariff to a basket of forward prices. I think if we take already a number rates or the forward prices which is published today of 2022, 2023, 2024, forward prices, the effect will be the same one than these being already presented by the government. So I think, of course, we need already to know the details of these terms of this agreement because I still is already -- what I read, is still not already completed, all the terms. So in the moment that will be completed, we can already make an analysis. But I think, we are not expecting impact in Iberdrola. So I think, the situation is today, there's certainly -- any margins, if there are any, in this moment, are in gas, not in electricity. As you can see in our results. We just need to see the difference between the Spanish gas prices in the border, and the TTF market. So I think, you can see the result of oil and gas companies are booming. Not electricity companies are booming prices. So that's why we maintain our guidance to €4 billion to €4.2 billion. You have to know as well then, Spain as I mentioned, is leading one-third of our results. And more than 50% of the result are regulated, so I think the effect on that one in any case are marginal in our total results. In terms of the clawback, our thing is, we have to know all these things because it's a package. We don't know exactly what is the final terms of all those things. So the only thing I can know is, in this clawback, still remain in the parliament, but I imagine they are going to make a global package with all these measures and I don't know what is going to make with this particular point.
Ignacio Cuenca Arambarri: Question Number 6, he says, what is your view on PPA prices for renewables in the main countries where you operate? Are you seeing any structural increase prices? If so, can you give an indication of the magnitude?
Ignacio Galan: In the last months, we have seen an increase in PPAs prices in most markets. I think is -- it's true. Then as well, is -- we have higher cost, higher CapEx. I think is -- but I think there is certain interrelation between the increases in CapEx and increases in the PPAs prices we are signing. I can say as well that the customers have more appetite to take fixed prices than they had in the past. I think today, as I was mentioning before, these prices, they can obtain these fixed prices, long-term fixed prices are far below the supermarket prices. So I think I can say, for instance, in Spain, the fixed prices we are providing in some cases is 50% or close to 50% lower than those we charge in this spot 1. Unfortunately, and that is our problem in some countries, is that we have not more energy available to be sold for 2022. I think I'll be delighted to have more energy available to sign more long-term contracts with that one. But I think all has been sold. And I think those customers are benefiting already of the lower cost of certain of our technologies. It's true that the part of those I think we are not 100% of the time generating with renewable. We have already to produce or to buy electricity generated with gas or by electricity with gas as Pepe mentioned. it has already these negative effect, but I think we are convinced that this is needed to create incentive for signing more long-term contract in PPAs instead of extendable volatility if there's poor market pricing in the whole market. I think that will have a great incentive for investing more in renewable without being expecting already auctions. What I'd you see, many of those actions has not been built. So I think as I mentioned before, in Spain has been already award is 16,000 Megawatt of auctions, and only 6,000 [Indiscernible] are present. And the reason there are many, not only a question of permit, as we already question funding and financing all those projects. So I think -- that's why I think regulatory stability with China, always insist on that one is crucial. I think we need to invest heavily in the sector, if we would like to make decently transition and to become more self-efficient. Stability, predictability rule of law is crucial for already make that happen. And that is something I've been insisting for a long time and I will continue insisting.
Ignacio Cuenca Arambarri: We have a couple of questions regarding the nuclear business or the nuclear production. The first one is, what is your view on the role of nuclear in Spain, and would Iberdrola regard potential extension of nuclear life expanse as an opportunity?
Ignacio Galan: So I think, perhaps the first [Indiscernible] in [Indiscernible] is from one of the European leaders. So the situation that we're seeing, and we are living today, has already proven they're self sufficient in Europe, is crucial. America, United States, 20, 25 years ago decided to become fully self sufficient in their energy and they invest in a Shell oil, Shell gas, and renewables. And now, they are already exporting, not only importing, but there are exporting part of their production to Europe. So Europe needs already to make already this plan. And they're already that's why I just mentioned the FIFO 55 is a good tool for become Europe fit for self sufficiency.
Ignacio Galan: So the main resources we have in Europe, are renewables in nuclear. It's the only one available. The development of nuclear depends on the energy policy in each country. I think, it's a question of energy policies and countries decide to introduce this route. Another country decided to take another one. I think, in the case of -- Spain has really decided to bet on renewables with their progressive and orderly [Indiscernible] of nuclear. So I have to say that -- and I think, that this is the policy, and I think we accept this policy. Our nuclear power plants, never the less, are ready to operate as long as they are needed. But I think, that will require investment and extra costs, that in case the policy change, this extra costs have to be already, ahead planned, to be recovered as -- in any -- another technology.
Ignacio Cuenca Arambarri: The second question regarding in [Indiscernible] sales related to Cofrente and the recent incident and the cost of it?
Ignacio Galan: So I say a bit, but I mentioned was on plain old dates. I have to say the availability of Spanish nuclear plant -- our nuclear power plant are extremely good. So I seen this, we have already a little bit of availability much higher than average rates of another power plant -- nuclear power plant in other countries. But I think time-to-time, so I don't want to happen. I've seen these we have already solved and the inching the licensing that we have already in this moment is already coming back to towards the power plant. And I seen this kind of small incidents are already in our case. In most cases are already in our budget because we know there is no 100% availabilities on time is already happening something we have seen, but the point is in a moment it happened is already have an impact and I think that goes the case, but I CAF -2 says that the availability of nuclear progress in expanding our own. And another one as well are already benchmark in most compared with another country.
Ignacio Cuenca Arambarri: Next question is, what is the estimate impact of the U.S. government [Indiscernible] on solar panel imports? How many capacity additions could be delayed? How many months of inventories do we have?
Ignacio Galan: So far, we a very small impact in United States. And because of this regulatory restriction of tenure component, I think if my memory doesn't fail, I think we have around 300 Megawatts with PB which can be affected. But I think I heard this the decision moving in the right direction. Most of them already is not in for 2022, I think is for 2023. I think Ignacio, you can really clarify those in detail, but my memory is not already precisely in this one. But I think my message is little impact or no impact in our case, not in 2022 and something in 2024 amount, which can be 300 Megawatts in a total of thousands then we are reinstalling the country in another technology in United States. I think those are the main term. So we have not already seen -- it's not something which is affecting to ourself, but that -- Ignacio, you can provide the -- more detail. But I think my mind is none in 2022 and the answer on theme will be in a small scale, something 300, 250, 300 Megawatts in 2023 that we can be affected. Not in the long term because our solar -- our bet in United States States is off shored, off shored, off shored. So what we have more double investment address it to have shortage, where is not already PB our main drive for growth in United States.
Ignacio Cuenca Arambarri: Next question is related to the European Union policy. And can you accelerate renewables development due to the permitting changes of them repower UAE plan? Will this still be possible despite supply chain constraints?
Ignacio Galan: Well I think for years so ready predicating in European Union in different countries, the need of modifying the permitting process. I think probably you have heard from me during those years that has no sense that to build a new power plant takes less than a year and to obtain the paper work for the permits, it takes 5, 6 or 7 years. So now, either the European Commission and most European countries are already aware of that one and they are already just trying to look for solution for how to avoid these bottlenecks. I heard that European Commission is planning to publish in May some guidelines how to make that one. But I seen in most countries, as I mentioned already, is already yes, becoming more ambitious in terms of the, especially Germany and France and Britain as well. In terms of how much of the energy will come from renewables, and all of them, they are already trying to modify the legislation for making already to be more [Indiscernible] on that one. I think in the case of Spain has been enormous as well to modify the rules for project up to 75-Megawatt for wind and a 150 Megawatt for solar PV as well for making that one for avoiding certain of the processes to make that more rapidly. I think that is positive for Iberdrola globally indicates of extraneous is positive for given the opportunity of [Indiscernible], certain our existing power plan in that will increase our pipeline with because of all those things.
Ignacio Cuenca Arambarri: Next question, is the number 11, and is regarding the inflationary situation. What is your view about inflationary pressures interrupting some panels? By how much CapEx Megawatts could increase for projects in 2024, 2025. And regarding the network business, is Iberdrola feeling inflationary pressures in raw materials or construction costs? How rapidly can those be passed to the IRA?
Ignacio Galan: So as I mentioned before, most of our operating results is protective for an inflation. So I think its because in some cases, revenues increase with inflation in different businesses. That is the case I mentioned before about Brazil, their recent review of tariffs, which increases of 13%, 14% in tariffs. In another cases in renewable, their PPAs or CFDs, which are linked to inflation with certain reviews of inflation, which I think is already from the very beginning. As I mentioned as well, if in revenues the inflation persists I think we will -- that increase us were Capex and that will already have transferred to the future prices. And that is what is happening as I mentioned the new PPAs are already increasing that one to what they were before. But the thing I have to say that for 2022, our purchase is secured with prices, our hedge in advance, that is not already affected. And also as I mentioned and Pepe mentioned as well, one of their potential effects of inflation is increasing interest rates and 80% of our total -- our debt is already a fixed rates long term fixed rate, as well, that is we are protected in this one, you know, we have already had those, during sometimes [Indiscernible] one to one and we're ready to do, that we are too conservative. We are always trying to -- we are not much aggressive in our expectation. We are always maintaining a conservative approach. And that is what is already happening. We have fixed rates, long term. We are already business, already inflational hedged for FX. I think, that's been already our strategy. So we are investing for long-term. Our investment is standing for 30-40-50 years. So one of our key material is, the cost of capital. An I think, we don't like to have already surprise on that one. That why we are making already these fixed rates and long term fixed rate. Same thing with the purchase, I think, it reminds that you in 2020, we make orders for almost 3 years to our suppliers. Not only for protecting about what is going to happen because we don't know that is going to happen or is happening, just to help themselves to keep already their supply chains, so already in operation when everybody was already closing or they were already in difficult situation. And I think, we are benefiting as well, off that one because we pass the service they had already the raw material, and we are benefiting of these. Of the orders we purchased already with two years in advance.
Ignacio Cuenca Arambarri: About Avangrid. There have been a lot of management changes in Avangrid in the last 12 months, including the CEO. What has driven the changes? Is Avangrid moving into a different strategy?
Ignacio Galan: Well, I think Dennis Arriola took his decision. I think now we are more than glad to have Pedro Azagra onboard. He knows the business and is fully aligned with our model. And I think we will continue with our strategy. I think the rotation is not negative, sometimes it can be very positive. So which I think is, when you're already in a company, is the result of measures. So different companies’ initial pieces of time are normal to have a certain number of rotation of people. But I think I'm very happy with existing team and I'm sure that Pedro is going to do a great job because he knows the business very well, has been the father of the -- all of those merges. And I think knows the people there better than anybody. I'm sure that he is going to be a great CEO of Avangrid.
Ignacio Cuenca Arambarri: About Mexico operations. Can you update us on the impact of the recent regulatory and political development in Mexico? What is the outlook for your Mexican business in the next three years?
Ignacio Galan: So as I mentioned, constitutional reform was rejected by the Congress. So it's electricity law as I mentioned as well that [Indiscernible] are declaring constitutional. I know there is left to case-by-case decision by judges. I can say that our operational performance is normal. Our plan is working with properly low factor close to over 80%. I think that's what I can say. And I think we maintain our investment what I mentioned in line what we mentioned, which is already very, very little in the next few years.
Ignacio Cuenca Arambarri: Last question. After 60 minutes of presentation, you see Iberdrola is accelerate in renewables in Australia, recent by buying acquisition on one gigawatts. Can you provide some color on that market that makes a company to be so optimistic? They pay a prices? Change their prices? Economy of a scale with current assets?
Ignacio Galan: So we are fully committed with Australia. For the same reason that lead us to invest in the country. So our [Indiscernible] is progressing very well. I think for instance, Port Augusta, which is almost completed. So Australia has a very attractive regulation is a country, a rating country. We have a great team there, we know very well the country and they know very well to do. There are lot of opportunities in another sector, not only renewable about as good transmission in the next few years, they will -- they are already saying the United State is already a growing demand for the citizen and the different Australian state to de-carbonized their economy. And I think [Indiscernible] those one is the reason why we would like to be present. It's a serious country, it's a country with a rating, we have a good team, they're a greater expectation. And the business we are making there is already given a good return and we are already succeeding in our project in the -- what we are already in this moment in construction. So that's why I think is the reason why we are there. The same reason why we were United States 20 years ago, so it's a serious country, solid, good, a stable regulation, growth prospects, and that is. That's why we're there.
Ignacio Cuenca Arambarri: Okay. Now, please let me know to give the floor to Mr. Galan to conclude this event.
Ignacio Galan: So thank you very much once again, for taking part in this conference call. So as I mentioned before, our Investor Relations team leaded by Ignacio will be available for any additional information you may require. If there are any of this numbers or figures [Indiscernible] my memory fail, he will be more than ready to provide you the details, which is not in my mind. Thank you very much. And I hope to see you, so thank you. Bye.